: MasTec, Inc. (NYSE:MTZ) Q1 2008 Earnings Call Transcript April 30, 2008 9:00 am ET 
Executives: Marc Lewis – VP, IR Jose Mas – President and CEO Bob Campbell – EVP and CFO
Analysts: Alex Rygiel – Friedman, Billings, Ramsey Eric Kainer -Thinkpanmure Michael Novak – Frontier Capital Daryl Malone [ph] – Newdoor Funds [ph] Paul Bonenfant – Morgan Keegan Marcus [ph] – KRC [ph] John Rogers – DA Davidson 
Operator:  Welcome to MasTec's first quarter 2008 earnings conference call initially broadcast on April 30, 2008. Let me remind participants that today's call is being recorded. At this time, I would like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Please go ahead, sir.
Marc Lewis: Thank you, Karen, and good morning. Welcome to MasTec's 2008 first quarter earnings conference call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking such as statements regarding MasTec's future results, plans, and anticipated trends in the industries where we operate. These forward-looking statements are the Company's expectations on the day of the initial broadcast of this conference call and the Company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties, and assumptions are detailed in our press releases and filing with the Securities and Exchange Commission. Should one or more of these risks or uncertainties materialize or should our underlying assumptions prove incorrect, actuals results may differ significantly from results expressed or implied in this communication. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of the non-GAAP financial measures to the most comparable GAAP financial measure can be found in our earnings press release or posted on the Investor Relations section of our website located at www.mastec.com. With us today, we have Jose Mas, our President and Chief Executive Officer and Bob Campbell, Executive Vice President and Chief Financial Office. The format of the call will be opening remarks and analysis by Jose followed by a financial review from Bob. These discussions will be followed by a Q&A session and we expect the call to last approximately 45 minutes. Jose?
Jose Mas: Thank you, Marc. Good morning and welcome to MasTec's 2008 first quarter earnings call. First, some first quarter highlights. Revenue for the first quarter was 262 million, a 9% year-over-year increase. Income from continuing operation was 9.5 million, or $0.14 per share prior to a 1.6 million or $0.02 legacy litigation charge, versus $0.07 per share in the first quarter of 2007 excluding a $0.04 gain from the sale of real estate. Thus, on a pro forma basis, earnings for the first quarter of 2008 were $0.14 per share versus $0.07 per share in the first quarter of 2007, a 100% year-over-year increase. We are pleased with our first quarter results given the challenging economic environment. At every 2007 quarterly calls we spoke of our commitment to greater management accountability and margin improvement. While we have made progress, management accountability and margin expansion will continue to be our primary focus in 2008. In addition, we will continue to diversify our business to take advantage of new and growing opportunities allowing us to further mitigate the risks of any specific sector downtown. In the first quarter, we grew both our utility and government businesses by over 20%. That's more than double the overall growth rate of the Company. Our goal is to continue to reposition the Company, to diversify our customer base, continue our geographic expansion, and take advantage of high-growth opportunities within our industries in both traditional and new markets for MasTec. Now, let me spend a few minutes talking about our business and customers. Once again, our communications business delivered steady results in the first quarter. Although the traditional maintenance business continues to show softness demand for fiber deployments remained strong. Verizon accounted for approximately 23 million in revenue in the first quarter, an 11% sequential increase and a slight decrease from the first quarter last year. We are encouraged by both spending levels, and more importantly by planned activity for the balance of 2008. We are also seeing an increased number of opportunities related to wireless infrastructure and believe this could be a good fit with both our skill set and diversification strategy. In our install-to-the-home business, DirecTV revenue was 123 million, or an 11% year-over-year increase. We are now entering our seasonally weakest quarter of the year with regards to this customer and while we expect some softness in Q2, we are encouraged by the fact that DirecTV is performing well and their strong High Definition content continues to drive market share gains. Our utility business revenue was up 26% compared to the first quarter of 2007. While we see softness in some areas of this business particularly those related to new housing starts we have a number of opportunities related to maintenance, transmission spending, alternative energy projects, including wind and solar, and gas. We continue to expand our transmission capabilities and our recent acquisition in this space is performing very well. During the first quarter we were able to secure $45 million in wind farm contracts, all expected to be completed in 2008. Our scope of work on these wind farms include the building of gathering lines that connect the turbines, the substation on the wind farm, and the construction of the transmission line connecting the wind farm to the electrical grid. We are also seeing increased activity in the natural gas base where we are currently working on building the gathering systems for the natural gas wells. We expect this to be an area of opportunity and expansion for MasTec. During the quarter, we also saw a 19% increase in our government business. This was driven predominantly by the growth of our water and sewer business. This work is performed primarily for government and municipalities and gives us yet another area of diversification in an industry segment which we believe will see little negative impact in a weakening economic environment. In conclusion, our business is growing, margins are improving, and liquidity is strong. We will aggressively pursue growth opportunities both organically and via acquisitions and will continue our diversification strategy as we feel this is a competitive strength for MasTec. While we may see some softness in Q2 compared to last year, backlog is growing, operational discipline has improved, and the Company is gaining momentum. We expect an excellent 2008. I will now turn over the call to our Chief Financial Officer, Bob Campbell. Bob?
Bob Campbell: Thank you, Jose, and good morning. As Jose mentioned, we are off to a good start for 2008 and we are cautiously optimistic for the year in spite of a soft economy. The first quarter is always a challenging one for us. But this year's Q1 was easily our best first quarter in a number of years. My highlights for Q1 are as follows. Revenue up 9%, and earnings per share quadrupled from $0.03 up to $0.12. Beyond the revenue increase, Q1 was helped by an 80 basis-point improvement in gross margin, a 50 basis point improvement in G&A expense, and the sale in February 2007 of our last discontinued operation, our DOT business. DSOs are down to a record low of 53 days compared to 61 days last year. Our financial condition remains strong. At the end of Q1 we had $123 million in cash revolver availability and securities held for sale. And finally, our guidance for 2008 is unchanged with revenue growth of 8% to 12%, and EPS growth of 27% to 34%. That's for continuing operations only, and the 2007 base excludes the $39 million legacy litigation charge, otherwise the increase in earnings would be even greater. We expect 2008 to be a good year for MasTec. With my highlights out of the way, let me review our Q1 financial details. For Q1 2008, revenue was up 9% and net income was up 366%. Net income was $7.8 million or $0.12 per diluted share on revenue of $262 million. That compares with Q1 2007 net income of $1.7 million or $0.03 per diluted share on revenue of $241 million. Net income included losses from discontinued operations of $155,000 in 2008 and $5.3 million in 2007. Income from continuing operations was $7.9 million or $0.12 earnings per diluted share compared with income from continuing operations of $7.0 million or $0.11 per diluted share last year. This year's Q1 $0.12 included a $1.6 million charge, or $0.023 a share for a legacy litigation item. Additionally, last year's Q1 $0.11 included a $0.04 non-reoccurring property sale gain. Therefore, on a pro forma basis without unusual items, for continuing operations, we made $0.14 this year compared to $0.07 last year. As I said, we had our best first quarter in many years. Our gross margin in Q1 2008 improved from 12.6% last year to 13.4%, and that's without depreciation. That's an 80 basis point improvement in gross margin in spite of a 90 basis point, or $2.5 million negative impact from fuel. The pickups were in labor and subcontractor costs and the lease and rental cost of our equipment. Regarding fuel costs, we are working on getting additional cost relief from our customers. G&A expense was down from 8.2% to 7.7% of revenue. Stock compensation expense was down and outside legal fees continued to drop as we wind down our legacy litigation. If you will remember, we took a $39 million charge in the third quarter of 2007 to provide for a change in strategy to accelerate the closure of what we had called our legacy litigation. We are clearly making progress getting these older cases settled or adjudicated. And we expect that most if not all of the significant cases will be behind us this year. And we expect to continue our trend of lowering our outside legal costs. As you can see in yesterday's 10-Q, we continue to close out our older cases. I get questions about the cash impact of last year's $39 million legacy litigation charge, and you should know that we believe that about half of the charge, or $20 million, will be the negative cash outflow from legacy litigation, and most of it will be in 2008. We did have a $1.6 million P&L charge in Q1 related to an old D&O coverage case. When we developed the accruals for last year's $39 million legacy litigation charge, we estimated, of course, the dollar amount and outcome of each case. When individual case outcomes vary from our estimates, we will be booking the pluses – pluses and the minuses, therefore you may see P&L hits and some pickups within our quarterly financial results as we go through the year. Our guidance excludes both the positive and the negative impact of the legacy litigation. However, it should be noted that our Q1 EPS was within the guidance range even after the $1.6 million litigation charge. Our financial condition and liquidity remain strong. At the end of the first quarter we had $123 million in cash, cash equivalents, securities available for sale, and availability on our bank revolving line of credit. That's roughly the same level as Q1 2007. Cash and liquidity remain high despite the fact that we have used cash to make four acquisitions over the last 12 months. Liquidity was helped by a reduction in our accounts receivable, days sales outstanding, or DSO's, to an all-time low of 53 days. Last year, our DSO's were 61 days. Additionally, our balance sheet is in great shape. Almost all of our debt is the $150 million 10-year Senior Notes that we sold last year. The interest rate on the Notes is 7 and 5/8% and the bonds have a 2017 maturity. So, we really don't have any significant debt maturities for nine more years. We often get questions about our large cash balance and the significant amount of liquidity that we have and what are our plans for the cash and the liquidity. And as you might imagine, we are often asked whether we intend to do a stock buyback given the current stock price and our large cash balance. While we will never say ‘never' regarding a stock buyback I will say that at the current time we do not intend to do a stock buyback. We have a proactive acquisition program and we continue to look for opportunities to grow our Company profitably. We are seeking opportunities to expand our service offerings and our geography and our customer base. We are very pleased with the four acquisitions that we have made in the last year. And we believe that the returns from these and from future acquisitions will be far greater and do far more for enterprise value than a stock buyback program. For the first quarter of 2008, our ten largest customers were DirecTV 47%; Verizon 9%;, AT&T 6%; EMBARQ, Pecan Pipeline and Progress Energy were all 3% each; Encore and XTO Energy were both 2% each; and American Electric Power and Dominion Virginia Power were both 1.5%. For your information, XTO Energy and Pecan Pipeline are natural gas customers and we expect to have a water and sewer customer in our top ten customers on a full-year basis. That's reflective of the increasing diversity in customers and service offerings that Jose was talking about. Today, backlog is at roughly the $1.4 billion level, up $100 million from last quarter. And that's an 18-month backlog number. Even though we believe that fiber deployment work will last for years our backlog includes only the specific work for which we have visibility. Now, let's move on to 2008 guidance. Today, we are reaffirming our 2008 guidance first issued on February 27. We expect 2008 revenue of $1,125 million to $1,160 million and we expect diluted continuing operations earnings per share to be between $0.85 and $0.90. That's an 8% to 12% increase in revenue and a 27% to 34% increase in EPS. The 27% to 34% increase in 2008 EPS is off of our 2007 base with the $39 million legacy litigation charge added back. So it's a good comparison of operating results. Our guidance does not include the impact of our legacy litigation, either positive or negative. Our guidance assumes a continuation of today's soft economy, and it is not dependant on a second half recovery in the economy. On the other hand, our guidance does not contemplate a significantly worsening economy. The pre-tax profit margin related to our annual guidance is 5% to 5.5%, and that compares to 4.4% in 2007. The 4.4% pre-tax profit margin for 2007 is pro forma, excluding the Q3 $39 million charge for legacy litigation. Our short-term pre-tax profit margin goal is 6%. And longer term, we believe we have margin expansion opportunities well above 6%.  Now let me make a few comments about Q2 and our Q2 guidance. It should be noted that Q2 for 2007 was far and away our best quarter last year and it will be our toughest comp this year. We could have a good Q2 and have a very good 2008 and hit our full year guidance, but not match last year's Q2 number of $0.24. Some of the items that will affect Q2 are as follows. First, we will have some growing pains in our energy business. With two acquisitions and changes in management we have had some short-term inefficiencies to overcome. However, as we ramp up our energy offering and begin the already booked business for the second half of the year, this business should improve significantly on both the top and bottom lines. We believe that Q2 will be an inflection point for this business with future period operations beginning to benefit from increased revenue and margin. Second, Q2 is always softer seasonally for our consumer Install-to-the-home business and also it may be affected by softness in the economy. However, with exceptional programming, and High-Definition offerings, we expect this business to outperform other offerings as we move in to the traditionally busier second half of the year. And third, fuel costs will be a factor in Q2 compared with last year. Even though we are negotiating fuel surcharges with some of our customers, it will take time for these to be negotiated and put into place. As I mentioned earlier, fuel was up in Q1 by $2.5 million versus last year. And fourth, net interest expense will continue to be affected by the Fed's monetary policy and widespread flight to quality, which has been depressing yields in our traditional investments. The negative Q2 impact will be about $600,000 or $0.01. I hope these comments regarding Q2 are helpful. Our Q2 guidance is as follows. Revenue for the second quarter of 2008 is expected to be between $265 million and $285 million with diluted earnings per share of $0.20 to $0.22. The revenue compares to $256 million in Q2 last year. The $0.20 to $0.22 diluted EPS guidance compares to $0.24 last year. In closing, just to echo what Jose said, we had an excellent quarter, and we expect to have a good year. Our revenue is growing and our margins are improving as we continue to reduce cost and become more efficient. Our balance sheet remains strong and we are well positioned to grow profitably as we implement our diversification and expansion plans. That concludes my remarks and now let me turn the call back to the conference operator for the Q&A session.
Operator:  (Operator instructions) And our first call will come from Alex Rygiel with FBR. Please go ahead. 
Alex Rygiel – Friedman, Billings, Ramsey:  Good morning, thank you gentlemen.
Jose Mas:  Good morning, Alex.
Alex Rygiel – Friedman, Billings, Ramsey:  Couple of questions, first, revenue growth year-over-year was about 9% or up 21 million. What was the revenue contribution from the four acquisitions that were completed last year?
Jose Mas:  You know, Alex, most of the acquisitions, the revenues were already in Q1 last year, so both for our DirectStar business, which is our DirecTV sales business, we had over two months of revenues in the first quarter last year, our Globetec business, our water and sewer business, all of the revenues in Q1 last year. So, the acquisitions that we made late in last year contributed about 2.5% of the overall revenues.
Alex Rygiel – Friedman, Billings, Ramsey:  Okay, so, Power Partners, Three Phase Line, and one month worth of DirectStar was worth 2.5% of our 9%?
Jose Mas:  That's right.
Alex Rygiel – Friedman, Billings, Ramsey:  Okay. Could you also comment a little bit on DirecTV pulling its techs in through the acquisition of 180 Connect and what that means longer term to your relationship with DirecTV?
Jose Mas:  Sure. I think focusing on the short-term first, really has no effect on our business. From a geographical perspective, we are in completely different areas, and the markets that we currently have with DirecTV, we have 100%. I think DirecTV has publicly stated over the course of the last year that they had an intent to get into the business much like they do in the call center business where they have about 30% of that business in-house. I think it's actually going to be a positive for the network in that DirecTV will really begin to under stand the challenges in the businesses, and I think working together we can actually make the business a lot more efficient. So, we are actually quite excited about it.
Alex Rygiel – Friedman, Billings, Ramsey:  They also mentioned in a recent analyst meeting that they were planning on reengineering or reconstructing the compensation with its HSP's, could you comment on that, please?
Jose Mas:  Alex, I am not aware of that. We re-signed our contract May of last year, an additional four-year term. And there has been no further talk of actually changing the compensation model.
Alex Rygiel – Friedman, Billings, Ramsey:  And have you had any success in passing on fuel surcharges with that customer?
Jose Mas:  Alex, we are not going to get into negotiations with each and every customer. I think for the most part we have had customers that in Q1 gave us fuel relief. Some of that was in our numbers. Despite that we still had a $2.5 million increase, obviously. Other customers didn't, and we are working with them and we are hoping to really reach as many customers as we can and get some fuel relief, not only for Q2 but as the year goes on.
Alex Rygiel – Friedman, Billings, Ramsey:  And lastly, I noticed in your proxy that you published a few weeks ago that you changed your executive compensation structure this year from a target-based model to being completely discretionary. Could you comment on why the Board or your perception of why the Board might have changed that methodology of compensation for the executives?
Jose Mas:  Sure, Alex, I think last year our executive comp was tied to EPS. I think there is some concerns from a Board perspective as to fully tying compensation metrics to earnings per share. So, they took really the position that they wanted to have a more subjective measure. Obviously, our targets are earnings, our internal goals will drive compensation and the – and obviously the compensation of the executives. So it's still a performance-driven model even though there is no specific set targets tied to EPS.
Alex Rygiel – Friedman, Billings, Ramsey:  Great. Thank you, very much.
Jose Mas:  Thank you, Alex.
Operator:  And our next question comes from side of Eric Kainer with Thinkpanmure. Please go ahead.
Eric Kainer – Thinkpanmure:  Thank you very much. Congratulations on a very nice quarter, gentlemen.
Jose Mas:  Thank you, Eric.
Eric Kainer – Thinkpanmure:  First, I wonder if you could talk to the tenor of the business at AT&T. Obviously, they have now kind of digested the BellSouth acquisition, BellSouth had been a very long, strong customer. But it looks like maybe your revenues there are maybe a bit soft and quite frankly in what looks like a pretty strong order book. I wonder if you can talk to us specifically about some of the things that you are seeing in their business.
Jose Mas:  So, Eric, I think that their business is similar to a lot of the businesses that we are dealing in. I think you've got two pieces to most of our customers. One is the traditional maintenance business that is somewhat tied to the overall economy both from their CapEx and also from what's happening from a new housing start. There is no question that that piece of our business for most of our customers has obviously softened. I think we expected that going into 2008. The other side of the business is really what they are doing from their whole U-verse play and a lot of their CapEx that they are dedicating to that. While we haven't seen the increase that we would have liked through ‘07, we are absolutely seeing an increased level of planning and activity as the balance of the year plays out. So, we expect our AT&T numbers to improve throughout the year. I think one of the other interesting trends that we are seeing from AT&T is their commitment to wireless spend. I think they put out a lot of announcements and press releases over the last few months to the tune of about $2 billion that they are dedicating to the wireless infrastructure play. And I think that that's an area of the business that we traditionally haven't played a big role in with AT&T but it's one that has really peaked our interest based on what's happening both from a CapEx trend and what's happening from their overall customers and the conversion to wireless at both Verizon and AT&T. Verizon recently also upped their – they out spent their wireless CapEx more so than they did their wireline. So, the trend that we are seeing with our major customers is there may be more spending going on in the future in the wireless side of the business versus the wireline and we are focused on that and looking for a way to play in that game as well.
Eric Kainer – Thinkpanmure:  Okay, well, we are also obviously seeing a lot of pick up in wireless both at AT&T and Verizon as well as more generally across the industry. And so I wonder if you could talk about some of the kinds of activities that you are interested in picking up in the wireless space?
Jose Mas:  So first, we have been very involved in the past in the actual equipment installation side related to wireless. It's an area of the business where we do a lot on the wireline side and we think there is a lot of synergy and fit with the wireless business and it's one that we are actively pursuing where we responded to a number of RFP's. We are also interested in the overall deployment of sites, not necessarily climbing towers or building towers but in the actual deployment of wireless sites, which we think is going to be a bigger area of spend over the course of the next few years for some of the wireless carriers.
Eric Kainer – Thinkpanmure:  Okay, great. And then on Verizon, have you seen a change in any of your work there specifically towards doing installation for them or is that still kind of an area of potential opportunity somewhere down the line?
Jose Mas:  To really move the needle I think it's a potential opportunity down the line. I think both Verizon and AT&T have played in that space a little bit with contractors. I think it is a current opportunity but a very small scale. I think over time that's obviously potentially a very large opportunity and we continue to play a role in that and to track that very closely with the hopes that at one point in time that will be a bigger opportunity for us.
Eric Kainer – Thinkpanmure:  Okay. Obviously very nice performance here on both gross margin and an area of special interest for me, DSO's. I wonder if you might be able to speak to the DSO improvement and was that kind of really coming out of the communications business, was energy a big contributor there. Was – maybe was it more government? What drove the DSO improvement there?
Bob Campbell:  Eric, this is Bob. The improvement – we improved another day from year-end and from 54 to 53 and that was pretty much across the board versus a year ago when we were at 61 days, dropping to 53 days. I would say some of it was in cable, some of it was in energy and to some degree it was still some point across the board.
Eric Kainer – Thinkpanmure:  Okay, well, congratulations, and good luck, gentlemen.
Bob Campbell:  Now, it's worth noting that every day is worth about $2.8 million to us. So it does add up.
Eric Kainer – Thinkpanmure:  Thank you.
Jose Mas:  Thanks Eric.
Operator:  Our next question will come from Michael Novak with Frontier Capital. Please go ahead.
Michael Novak – Frontier Capital:  My question was already asked, thank you..
Operator: We will go with Daryl Malone [ph] with Newdoor Funds [ph]. Please go ahead. 
Daryl Malone – Newdoor Funds : Hi, good morning, gentlemen, thanks for taking the call. Apologies, I joined the call here a little bit late, so, just let me know if the question have already been asked. Did you already go through your top ten customers of the quarter?
Jose Mas: Yes, we did.
Daryl Malone – Newdoor Funds :  Very good. And then I had a question about your utilities business. The run rate is – I guess we have seen in the past few quarters you are substantially higher than it was a year ago. Could you maybe comment, is that a kind of a run rate you anticipate continuing going forward?
Jose Mas:  We actually expect the run rate to increase. I think it's a – we focused hard on that business over the course of the last year. We expect it to be probably our fastest growing sector in the Company. We also announced today the fact that we secured about $45 million in wind farm contracts, which will be completed in 2008. We expect further growth in that business and we think there is great opportunity there. We think that's going to help be a further catalyst as that business continues to expand and grow. So, we actually expect a much stronger second half of the year than first half of the year in that business. So, we actually expect that trend to continue in an uptick.
Daryl Malone – Newdoor Funds :  And then, wanted to talk about kind of Q2 you – maybe your – and I guess the trends you are seeing in your communications business, with specific comment regarding direct television. Do you anticipate general traditional seasonal pattern? Do you see any lift in your business? And I guess what I guess I'm trying to get to is there any slowing relating to the softening economy and the consumer and sell through in that direct television product? Are you seeing that show up in fewer orders on your end?
Jose Mas:  Sure. A couple of comments. I think as we look at Q2 we actually gave a wide range wide range from a revenue perspective, wider than we typically give. Part of the reason is we are starting a number of larger projects. We expect some of those projects to possibly start in June which would help us achieve the higher end of that target. If for whatever reason those projects get pushed back a week or two for material delivery or whatever maybe some of that may push into Q3 and that's part of the reason for the wide range in the revenue side. Obviously, the bottom line margins would follow. Specifically related to DirecTV, if we look historically, we always see a dip in Q2. In 2006 we had about 5% dip from Q1 to Q2. Last year we had about 1% dip from Q1 to Q2: And I think last year was somewhat of an anomaly with all of the new product DirecTV was putting, they had obviously a (inaudible) backlog of upgrade orders that had come through as they began to launch hi-def. So, we are expecting a typical seasonal slowdown more like the 2006, maybe a tad bit more, maybe not. They have done a phenomenal job. They have not released earnings yet. So, we really don't want to talk about what we saw from an order perspective in Q1 or what we are seeing in Q2. But again, we are very confident about their availability to gain market share in today's market. We think that they have got a tremendous product offering and we expect their business to be solid for the rest of the year.
Daryl Malone – Newdoor Funds :  Okay, great. And then I guess one last question related to direct television. In Q4, on their Q4 call, they were commenting on BellSouth and really that was one of their larger resellers and accounted for 300,000 gross adds per year. They anticipate losing 50% of that volume that wasn't going to actually be recaptured by other resellers of their offering in the marketplace. When I look at BellSouth's footprint that's consistent with your geographic territory. I guess what are you seeing? I guess I am trying to infer direct television's concerns – I guess is that a concern for you, any loss of business in those areas based on the fact that BellSouth is not a reseller for direct television?
Jose Mas: That business relationship terminated on March 31. If you look at our business with DirecTV, we basically cover four of the nine historical BellSouth states. BellSouth was in nine states, and of those nine our DirecTV presence was in four of those. We also believe that DirecTV is a far better product than Dish Network and especially in the areas that we cover, which are Florida, Georgia, North Carolina, and South Carolina. There is a lot of exclusive programming only found on DirecTV such as NASCAR, such as the DirecTV the NFL SUNDAY TICKET, which we think play well in the geographies that we cover. So, we actually think DirecTV is going to do a good job at making up a significant amount of that difference. There is no question that we have seen and will continue to see some impact from that. And obviously as the quarter goes along and they start rolling out, their officers for that region, we think DirecTV is going to do just fine in picking up a good chunk if not most of the lost orders.
Daryl Malone – Newdoor Funds :  Okay, so, for – I guess for your business that you do in those regions, I guess you say you are still going to see your more traditional 2006-type pattern and not anything incrementally less than that because of – or substantially less than that based on direct television's loss of BellSouth as a reseller?
Jose Mas:  No, so, again, in 2006, it was down 5%. Could we see our business down 6%, 7%, 8%? Maybe. Could we see it down 3% or 4%? Maybe. So, I think that's the range. I wouldn't expect a variation much greater than that.
Daryl Malone – Newdoor Funds :  Okay, thank you very much for your time.
Jose Mas:  Thank you.
Operator:  Your next question will come from Paul Bonenfant with Morgan Keegan. Please go ahead. 
Paul:  Thank you, dialing in for Simon Leopold today. I have a question for you on your Q2 guidance. You mentioned earlier that your fuel impact year-over-year this quarter was about 90 basis points. Do you have a sense for where that might be for the second quarter?
Bonenfant – Morgan Keegan:  Thank you, dialing in for Simon Leopold today. I have a question for you on your Q2 guidance. You mentioned earlier that your fuel impact year-over-year this quarter was about 90 basis points. Do you have a sense for where that might be for the second quarter?
Jose Mas:  So, a couple of things. There is no question that the average cost of fuel from Q1 to Q2 has gone up probably to the tune of about 10%. So, could we see that number going maybe to 3.5 million over Q2 of 2007? The answer is maybe. The flip side of it is what kind of fuel surcharges or – can we get from our customers which we are working on, and how much of that difference does that make up. So, we expect to see an impact in Q2. Obviously, if we saw a $3.5 million impact, it starts at about $0.05 a share. And then the question is how much can we recover from that? Some of the 2.5 million that we saw in Q1 was recovered from customers, so the net effect wasn't that severe. However, obviously that number is going up in Q2, and we need to continue to be successful with our customers to offset some of that. But, we will see a greater difference in Q2 versus Q1 of last year.
Paul:  Right, thank you. The question is that we are not looking for the type of gross margin increase that we saw in the second quarter of last year?
Bonenfant – Morgan Keegan:  Right, thank you. The question is that we are not looking for the type of gross margin increase that we saw in the second quarter of last year?
Jose Mas:  I think it will be slightly lower and I think that's really the – if you look at and you compare our pre-tax guidance, our G&A depreciation and interest is – has really been running at about the same rate over the last few quarters. We do not expect that to change. So, any variability in our pre-tax operating margin you are going to see it on gross margin line.
Paul:  Okay. Also looking out further toward the operating model improvements, it seems like trends in the utility and the energy business are improving. It seems like your plans for expanding that business and margin improvement that you talked about last May at the analyst meeting in Charlotte are working, and I am wondering if you could update us on your expectations for growth in utilities and energy and even the government business year-over-year. I think you had talked about over the longer term getting to maybe each of these business units contributing a third versus the more heavy-weighting toward the communications business today.
Bonenfant – Morgan Keegan:  Okay. Also looking out further toward the operating model improvements, it seems like trends in the utility and the energy business are improving. It seems like your plans for expanding that business and margin improvement that you talked about last May at the analyst meeting in Charlotte are working, and I am wondering if you could update us on your expectations for growth in utilities and energy and even the government business year-over-year. I think you had talked about over the longer term getting to maybe each of these business units contributing a third versus the more heavy-weighting toward the communications business today.
Jose Mas:  Paul, there is no question that diversification is a very important part of our strategy and plan going forward. We think the more diversified we are obviously the more protected we are. We are working hard at growing the utility business. We think it offers tremendous potential in a lot of different areas. So, our goals really haven't changed. I mean we are at a cliff of really nice growth in that business over where we were in ‘07. And again, we expect it to accelerate, so we could potentially see that business being closer to that – that to our overall – an equal percentage of our overall business quicker than we had originally anticipated and that's really our goal. On the government side of the business, especially in these times where the economy is somewhat suffering from a private company perspective, government is a nice place to go, it's a safe haven. You almost see an inverse pattern. You almost see more spending because the government is trying to get some funds out on government projects. So, we have actually seen an increase in the amount of projects available. Obviously, there is a little bit more competition on those jobs as well. But from a backlog perspective, we have done an excellent job in that business at really building a solid backlog of business for the remainder of 2008 and are really even beginning to get some backlog for 2009. So, we also expect that business to grow. We think as the year goes on, we don't expect that to be a large part of MasTec or one of the bigger divisions, but we do expect it to be bigger than it is today. So, overall, again, diversifying our customer base, diversifying our businesses are key objectives. I think one of the takeaways, hopefully, today is that our operational performance is improving. It's improved. We are working hard on it. And we think diversity is really going to help both from a revenue side and more importantly from a mix and margin side of the business.
Paul:  That's helpful. Thank you. Final question, if I may. You had – I think Bob mentioned earlier that your goal was to get to a 6% or better pre-tax margin and I'm wondering if you have any color around that regarding a timeframe when we might start to see that type of performance or maybe a quarterly or an annual run rate?
Bonenfant – Morgan Keegan:  That's helpful. Thank you. Final question, if I may. You had – I think Bob mentioned earlier that your goal was to get to a 6% or better pre-tax margin and I'm wondering if you have any color around that regarding a timeframe when we might start to see that type of performance or maybe a quarterly or an annual run rate?
Jose Mas:  Our guidance for the year is 5 to 5.5 as Bob mentioned. If you extrapolate our Q2 numbers, our guidance is about 5 to 5.2. So, it's within our annual range. Obviously, the back end of the year we expect improvement and we think will go up obviously to hit our year-end numbers. We are hopeful that at that point those margin trends will be somewhat sustainable. So, again, from a short-term perspective as we look out over the next 18 months, we are striving hard to get to six or better. And more importantly I think as we look long term into this business we really see the potential there for better than six. And we are going to work there to get it as fast as we can. But, first things first and hopefully we get to six relatively soon.
Paul:  Okay. Thank you for taking my questions.
Bonenfant – Morgan Keegan:  Okay. Thank you for taking my questions.
Jose Mas:  Thank you, Paul.
Operator:  And our next question will come from Marcus [ph] with KRC [ph]. Please go ahead.
Marcus – KRC :  Hi. Good morning, guys.
Jose Mas:  Good morning.
Marcus – KRC :  Want to understand, a quarter ago we talked about how there were I think you said like 900 third-party dollars in your territory of DirecTV and you thought coming out of the end of ‘07 that you had fully displaced them. Is that kind of how we – you think about where you are in terms of 1Q and did you see the benefits of that over 1Q?
Jose Mas:  So, the answer is yes. We have our markets back. The first quarter we saw about 11% increase over last year. We saw a slight sequential increase from Q4. It's probably important to note that our first quarter with DirecTV this year was our highest revenue quarter ever with them. So again, it's an important customer. We saw a lot of activity. And we have done a lot from a cost perspective there with our employees and really have now the ability to work our employees a little bit differently to give them some days off, to let them have floating schedules. And I think the big difference between the first quarter this year and the first quarter last year is we are in a really good position to really get ready for the spike in volume that we expect in the second half of the year. It's somewhat of a seasonal business. We see spikes in Q3 and Q4. Q1, we see a lot of carryover from the balance of the previous year. Then we see somewhat of a slowdown in Q2 really the way we have looked at the business for the last few years. What's different about MasTec this year is we are going to be in a great position when the volume comes back to really have the manpower and the employees on staff and not have to go through the growing pains that we did in the last few years of making up that volume. So, I think no question into 2008, we are better prepared than we have ever been to really meet the challenges and demand of that customer long-term.
Marcus – KRC : Great. So, then thinking along those lines should we assume you've got a whole bunch of fixed cost sitting in P&L in the first quarter that you didn't have all the way through the fourth quarter and hence the margin in that business is depressed on a sequential basis?
Jose Mas:  It's somewhat is. At the same time, just from an overall compensation perspective, we pay our technicians based on piece rate. So, our technicians are not hourly. So, idle technicians don't necessarily cost us all of the labor component. It doesn't necessarily affect us from a labor component. However, it does affect us from all of the other intangible costs such as vehicles and fuel and any other cost related to those employees, supervisors, et cetera. So, there is definitely somewhat of a margin hit, but it's not as significant as one might think.
Marcus – KRC :  And just last thing to clarify, if I understood correctly, in terms of the energy business, is that you said that some costs are escalating or some things slipped out a little bit, and the margins aren't as good as what you thought. Can you just clarify – anything more to clarify that kind of what are the moving parts there and where do you think the energy business margin profile can be at year end ‘08 relative to what your corporate average is right now?
Jose Mas:  A couple of things on energy. I think we have done a really good job of growing that business and obviously some of the growth came from some of our acquisitions, but there was a lot of growth that came organically. Even within the acquisitions, we have worked hard at helping them grow and really investing in their businesses to help them grow. With that come some growing pains. When you look at our ability to secure $45 million in wind farm contracts this quarter, they barely had revenue in Q1. And as we look at it, we are investing in the future of that business. So, there is no question that some of the startups, some of the growth comes at an expense. We think it's well worth it. And as we look at the margin profile of that business and as we model out the rest of our year, we actually think that could be the best margin business in MasTec when you look at mix opportunity and some of the things that we have happening there. So, we are actually very excited about the margin profile of that business where we think we are headed, the momentum we've got in that business, and where we think we are taking it. So, partly the way we are looking at it is we are making somewhat of an investment for the balance, the second half balance of the year and into the future. And we think that investment will pay off very, very well.
Marcus – KRC :  Great. Last question [ph]. 
Jose Mas:  Thank you.
Operator:  Your final question comes from John Rogers with D.A. Davidson. Please go ahead. 
John Rogers – DA Davidson:  Hi, good morning. Most have been answered, but one thing I just – Bob, you mentioned growth in our sewer and water business. Is the segment – is that a specific project that you have already booked in the backlog or just what where you referring to there?
Bob Campbell:  No. 
Jose Mas:  So, John, this is Jose. We started a joint venture years ago called Globetec which we have talked about a lot and we made – we purchased the remaining interest in that joint venture in late 2007 and basically that business centers around doing work for municipalities and governments, predominantly for water and sewer. And it's an area of our business that –it's the predominant nature of what we call government in our filings. So if you look at our sector breakout, the predominant number in government is the Globetec business, and it's obviously been growing as a percentage of our total revenues and it's one where we see a lot of upside and a lot of stability here and – at least for the next few years.
John Rogers – DA Davidson:  I guess what I was wondering is, was this a specific project or just your impression of call out work there?
Jose Mas:  It is not a specific project. We work on a lot of different projects, some are smaller than others. But it is no – it's not one win that's really driving that business, its' a number of projects and a total book of business that really makes up the bulk of those revenues.
John Rogers – DA Davidson:  Okay. Great. Everything else is answered. Thanks.
Jose Mas: Thank you, John.
Operator:  This does conclude today's Q&A session. I will turn it back over to Jose Mas for closing comments or remarks. Please go ahead..
Jose Mas:  Again, we are pleased with our first quarter. We think we really started to show improved operational performance and we really expect that to continue throughout the year. So, I would like to thank everybody for participating today and we look forward to our second quarter call. Thank you.
Operator:  This concludes today's teleconference. You may now disconnect your lines. Thank you and have a great day.